Operator: Good day, ladies and gentlemen, and welcome to the Q3, 2008 Wilshire State Bank earnings conference call. (Operator Instructions). At this time, I would like to hand the presentation over to your host for today's call, Mr. Edward Han, First Vice President, Investor Relations.
Edward Han: Thank you, everyone, for joining us today for our third quarter, 2008 conference call. With me today are Joanne Kim, President and Chief Executive Officer and Alex Ko, Senior Vice President and Chief Financial Officer. Earlier this morning, we released our third quarter results, which can be accessed under the investor relations tab at Wilshire Bank.com, and from the various financial news websites. This call is being webcast and a replay will be available for a year on our website. Before we get started, I need to remind you that during this call, we may make some statements concerning Wilshire's future performance or events. Any such comments constitute forward-looking statements and are subject to a number of risks and uncertainties and might cause actual results to differ materially from stated expectations. Specific factors include, but are not limited to the ability to grow market share in our markets included in New York and L.A. that sets the new branches marketing costs, loan growth and balance sheet management, credit quality, our ability to collect on past due loans, deposit generation, net interest margin expectation, interest rate exposure, global and local economic conditions and other risks detailed in the most recent report on Form 10-K and Form 10-Q as filed with the SEC. Given these uncertainties, undue reliance should not be placed on such forward-looking statements. Wilshire Bancorp is under no obligation to update this information as future events or developments take place that may change these forward-looking statements. Miss Joanne Kim will provide a brief discussion of our primary market, as well as give you an update on the loan portfolio. Then Mr. Alex Ko will review our financial results. Following his remarks, Miss Kim will add closing remarks, followed by a Q&A session. With that, I will now turn the call over to Joanne.
Joanne Kim: Thank you for joining us today. The third quarter was full of surprising events that reshaped the financial world. The quarter began with the failure of Indymac bank, followed by historic events such as Fannie and Freddie's seizure by the government, the sale of Merrill Lynch, AIG, Lehman's and WaMu's fall, etc, etc. The credit market came to a screeching halt and we have been feeling the pain in our corner of the world. Actions by the FDIC to increase deposit insurance up to $250,000, and to provide unlimited insurance coverage on all non-interest bearing transaction accounts, will essentially help restore deposit cost sense and help with stabilizing the deposit market. Furthermore, the Treasury Department's capital repurchase program will transcend the market stability, as well as bank's catch-all positions. We plan to participate in this program, even though our capital producer is strong at 14%. We believe additional capital will enable us to develop diversified strategic initiatives, including possible acquisitions. Despite this industry turmoil however, Wilshire has been able to focus on our core businesses, which are gathering deposits and lending money to our customers. As I stated in our previous conference call, our loan growth during the second half of 2008 would be slower, compared with the first half of the year and it would coincide with our deposit growth, and we did just that. Our loan grew 2% during the third quarter, while our deposits grew 3%. We funded our new loans with our own deposit growth during this quarter, unlike previous quarters when we used borrowed funds. We will continue to focus on raising core deposits and balancing the growth of loans and deposits. I'd like to share a piece of good news with you that just happened and would affect our community positively. On October 17th, President Bush announced South Korea's entry into the Visa Waiver Program, which allows Koreans to travel to the U.S. and stay for up to 90 days without a Visa. This will become effective as early as December of this year or in January of next year. Once this Visa Waiver Program is implemented, as many as two million Koreans are expected to travel to the U.S., a sharp increase from the current 800,000 Korean travelers per year. This increased traveler traffic between the two countries definitely stimulates Los Angeles regional and Korean towns local business activity, since we are the direct and most beneficiary of this program. There will be increased investment activities in real estate and businesses, which will help stabilize commercial real estate value, as well as other business value. Now, let's talk about our loan portfolio. Consistent with prior quarters, 73% of our total loans are CRE loans and 20%, C&I loans. Of the 1.5 billion CRE loans, approximately 30% are owner-occupied. The weighted average loan to value ratio of CRE loans is 63% now. Approximately 46% or $935 million are variable rate loans, while the remaining 54%, or $1.1 billion, are fixed rate loans. Our fixed rate loans include both regular fixed rate and high rate loans. High rate loans are those which are structured with a combination of fixed and variable rate, typically fixed for the first three to five years and floating for the remainder of the term. Regular fixed rate loans totaled $727 million and high rate loans totaled $374 million at the end of third quarter. We expect that yield to construction codes by recent rate cuts, will be smaller due to our interest rate position. In addition, most of the new loans, post-real estate and business loans, that we have originated since early 2008 have floors, which also protects our loan yield. Net loans increased by $221 million or a nearly 12% to $2 billion during the nine months of the year. For the quarter, we originated $99 million new loans and grew our portfolio by $45 million. SBA loan origination totaled $10 million during the quarter, which represents a significant decrease, compared with prior year-end quarters. SBA loan origination and gain on the sale income will remain depressed for a while, due to the decrease in loan demands, coupled with the bank-controlled construction of premium rate since there are going to be no secondary markets for SBA loans. Accordingly, we have trimmed down our SBA department in response to the change of market conditions. Our SBA department continues to focus more on quality control of existing loans during the remainder of 2008. Our non-performing loans decreased to 0.67% for the quarter from 0.83% in second quarter of 2008. Total NPL amounted to $13.7 million of which $9.5 million belongs to CRE and 3.6 million to C&I loans. Of total NPLs 42% or $5.8 million belong to SBA loans. The decrease of 2.7 million in non-performing loans from the linked quarter is mainly due to one loan moved to accrual status from non-accrual status during the third quarter. We anticipate that this level of NPL trend to continue and remain at manageable level for the rest of the year. Delinquencies in the 30 to 89 day category declined 11% or by $1.5 million to $11.9 million, from 1$3.4 million on a linked quarter comparison. We had $9.8 million in the 30 to 59 day category, and $1.7 million in the 60 to 89 day category. Majority of our 60 to 89 days delinquent loans are SBA loans, some of which will migrate to NPL. Total delinquencies including NPLs were 1.23% improving from the previous quarter's 1.38%. We reported $26 million in our allowance for loan loss which is equal to 1.28% of gross loans or 189% of our non-performing loans. Provision for credit loss significantly increased to $3.4 million compared with previous quarter of $1.4 million. This increase in provisions strengthened our allowance coverage ratio to 1.28% compared with 1.18% in prior quarter. NPL coverage also, has increased to 189% for the current quarter from 143% from prior quarter. You might question why our provision expense increased on our linked quarter comparison. Why our NPL and delinquencies have increased quarter over quarter? Here is our answer. In view of the current economy instability and uncertainty and to be at the conservative side we have tightened our loan review process and proactively and aggressively downgraded our loans if we saw some sign of stress even though they are performing and current. This tightened process we don't think any increase in classified loans to $73.5 million at third quarter end from $33.5 million at second quarter end. It primarily came from one borrowing relationship, which currently has seven apartment buildings, seven apartment building loans, totaling $33 million. All seven properties are located in Korea Town which are all with a loan to value ratio of 65 to 70%. Of the seven loans one loan has slightly low one-time debt coverage ratio. The other loan is under remodeling construction at 95% completion stage. Some are delinquent in property tax payments. Due to such issues we have downgraded the entire relationship to substandard even though all seven loans are current and performing. We do not anticipate any losses from this relationship and we expect to restore these loans to pass within a couple of quarters when our borrower closes a payment escrow for one of their properties. Again this is a reflection of our conservative posture toward loan portfolio management. We believe our aggressive and strong credit monitoring process will prevent any unforeseen credit cost if any during the next quarters. Now I will turn to Alex for review of some of our other financial highlights.
Gunho Alex Ko: Thank you, Joann. I would jump to some of the highlights. One of the highlights of the quarter was quarter-over-quarter improvement on our net interest margin. Continued loan growth rate, higher loan pricing, combined with a substantial decrease on deposit costs, contributed to our net interest margin expansion by 8 basis points from the prior quarter. Along with our strong back up position, the safety of our bank was recognized in our community and did help 41 million or 3% deposit increase over linked quarter. We are pleased to report that the deposit increase is mainly from core deposit growth over linked quarter than the same last year. Money market account and [TCB] less than $100,000 increased by 9% or 23% compared to prior quarter. This core deposit growth has enabled us to continue growing our loan portfolio which increased 2% over linked quarter and 18% year over year. Additionally the number of new accounts opened over the third quarter was encouraging. And it reflects our customer's security in our bank. We have been changing the composition of our liability mix in order to reduce our cost of funds. During the first half of this year we utilized FHLB borrowings more compared to 2007 due to a favorable interest rate. However, due to our strong core deposit growth and during the third quarter we were able to reduce our FHLB borrowing by 6% or 20 million from previous quarter. To improve our liquidity provisions further we are in the final completion stage of securing an additional 100 million plus line of credit with FHLB based on our strong credit quality and capital position. Additionally we are also in process of securing a substantial increase from the fair discount window credit facility. We are continuing to expand our banking products in an effort to grow our core deposit business. As a result service charges on deposits increased 30% over the third quarter of 2007 and 3% over linked quarter. As we got deeper into the quarter it became increasingly difficult to sell loans with a decent premium into the second market. As a result of gain on SBA loan sales was down about 55% on a linked quarter and down 74% from the third quarter a year ago. The current market premium for SBA loans sales is around 1 to 1.5% which is a sharp decline from the 5 to 7% premium we were seeing in the past, which is why we substantially decreased loan sales this quarter. While we cannot control the current premium in the SBA loan sales market we are doing our part to offset this with improved ways of downgrading non-interest income. We were able to increase our non-interest income such as service charges on deposits. The increases attributable to the growth in the number of new accounts opened during the quarter and increase in core deposit which we believe were due to recognition of our bank as a stronger than some of our competitors. Deposit increase in came up despite a decrease in gain on SBA loan sales. Our efficiency ratio improved to 46% from 48% in prior quarter based on our successful effort of cost reduction. A portion of our cost reduction includes the closing of our Rancho Cucamonga in store branch and the consolidation into neighboring branch and trimming down number of employees during this quarter. Our capital ratios are all strong by regulatory definition we are much higher and well capitalized at the very end of September all capital ratios. Total risk based capital is14.01%, tier one-based capital is 11.68%, and tier one leveraged capital is 10.19%. Finally I want to point out that we do not hold Fannie or Freddie common or preferred stock, nor any accrual trust preferred securities. We don't have any distressed corporate bond like Lehman Brothers. There's no investment that requires any other temporally impairment breakdowns as of the end of this quarter, and now I will turn the call back over to Joanne.
Joanne Kim: Thanks, Alex. As I said on the last call, the second half of the year will be a challenging environment at all banks including Wilshire. This remains true. Maintaining good asset quality is very important to us and we have kept up our diligence. We have built a credit structure that allows us to spot problem loans early on and take the necessary steps to cure them. Both our capital and liquidity predictions remain strong. We will continue growing. Wilshire will not only survive but prosper in the difficult days ahead because of our inherent strength. This finishes our comments and thanks for listening.
Edward Han: That completes our prepared remarks and at this time we would like to take questions.
Operator: (Operator Instructions). Our first question comes from Brett Rabatin – FTN Midwest Securities.
Brett Rabatin – FTN Midwest Securities: Wanted to first ask out, I'm a little confused on delinquencies and in classified and in credit in general. If I understand correctly, $33 million of the increase in classified loans was related to basically one particular relationship, but it sounds like this quarter and last quarter there's still what your saying an increase in delinquencies on both SBA and small business/C&I loans. I'm curious, was there not an increase in those type of lending relationships in classified loans?
Joanne Kim: Let me just clarify. When I say classified credit, each loans are graded as pass, special maintain,, substandard to doubtful loss. When I am talking about classified loans that's what I'm talking about. The classification sometimes has nothing to do with the loan's current or delinquent status. Sometimes even though the loans are perfectly performing and are current, if we spot some feature or potential problems we grade or at least downgrade them to special maintain or substandard or doubtful and set aside necessary reserves. The $33 million downgrade that I'm talking about are just that. We have those loans for about three years and those loans are performing. They have performed. They are reducing their monthly principle payments. However, as I said, one loan has a lesser than 1.2 times debt coverage ratio and some of the property taxes are delinquent. That's the reason why we downgrade them, but they are not included in our delinquent loans at all. That's the reason why our delinquent figures are still very low about $11, $12 million.
Brett Rabatin – FTN Midwest Securities : I guess I am just trying to understand. I know the definition of classified versus delinquent and all that. I guess I'm just trying to figure out why you had one large relationship that mostly comprised the growth in the classified bucket which would be substandard, doubtful loss. And I guess I'm curious if what you're telling me on C&I and SBA it sounds like you're telling me those continue to be soft but we just didn’t see any real meaningful increase in classified in those segments this quarter.
Joanne Kim: No, I just said that we act as the classified loans were increased because we downgrade them, but again ,even though we downgrade them to substandard credits, these loans are performing and these loans are current. They are not delinquent, so these loans are not included in our delinquent account, but these loans caused the increase in our provision expenses.
Brett Rabatin – FTN Midwest Securities Corp.: In relation to these seven properties, A, is this a relationship that is with another – is there other banks involved in this credit as well and are you the lead?
Joanne Kim: No, this is all a – there’s no participation in this loan. As I said, there are seven different loans. The loan amount as varied as $2 million, $3 million, $7 million. The largest loan that we have to this borrower the single note is $9 million. They are one of the larger developer investor of apartment property. Basically five apartment buildings have more than 90% occupancy ratio with satisfactory debt coverage ratio, but when you downgrade one or two loans of a relationship, generally we downgrade the entire relationship not just one or two loans. That is the tradition that we have taken. That’s the reason why we have some stress in two loans; five of them are okay, but we downgrade entire relationship because it is a common borrower.
Brett Rabatin – FTN Midwest Securities Corp.: The other question I wanted to ask is just, I know you are probably still evaluating it, but your views on the TARP and whether you might be looking to get involved in that or if you don’t want to participate at all?
Joanne Kim: As I said we definitely plan to participate in this program, and I think this is a good program, even though our capital is pretty strong. But we have no reason not to take advantage of this very, very, very good opportunity. I understand that even at the ICM of Europe they do actually encourage all of the banks to participate. I don’t know – we will try to – we will participate definitely.
Brett Rabatin – FTN Midwest Securities Corp.: Great, congratulation on the numbers relative to the environment.
Joanne Kim: Thank You, Brett.
Operator: Our next question comes from the line of Erika Penala – Merrill Lynch.
Erika Penala – Merrill Lynch: My first question is on the deposit side. You alluded to this in your prepared remarks, but could you give us a little bit more color as to particularly in the retail CDs. You were able to reign in or even – really lower the cost of deposits here, but the volumes were up pretty substantially. Was there a flight to quality issue in the Korean American space or can you tell us what was going on there volume wise?
Joanne Kim: From what sector – I guess you could say, I guess during the third quarter I would be proud if the core deposits have increased. So you want some colors in that increase itself?
Erika Penala – Merrill Lynch: Yes, and I was wondering in particular whether – you alluded to this on the prepared remarks but what that flight to quality from other Korean American banks or –
Gunho Alex Ko: Yes, I think I can touch this. I believe the recognition of the bank, the Wilshire State Bank, is a stronger and safer bank, and we did see some of the deposits increase especially for the whole deposits for the PCD lower that $100,000. So that is why the balance that you see, average for the second quarter was a $173 million verses third quarter it was $197 million. It is a substantial volume increase. In addition, we only got a lower rate and our average rate for the third quarter for that particular CD was 3.69% versus now 4.08% for the second quarter.
Joanne Kim: I believe the reason why we see a substantial increase in CDs under $100,000 is because being the third quarter, you know what happens, and a lot of people are scared ad transfer money from different banks such as WaMu or the other banks and we became the beneficiary of that happening. But these people transfer money on $10,000 increments because at that time the deposit insurance was not increased to $250,000, and that was one of the reasons why we saw an increase in $100,000 and below PCDs.
Erika Penala – Merrill Lynch: How did your CD rate offering in the quarter compare to your Korean American bank peers and your larger peers in Southern California?
Joanne Kim: We are very competitive, I mean, we are competing. The deposit market is very tight. It’s very tight and we have to stay very competitive with other Korean American banks as well as other major banks who are competing in our marketplace. So we are almost neck to neck.
Erika Penala – Merrill Lynch: You mentioned, switching to credit, you mentioned that you had tightened your loan monitoring in the quarter. Could you share with us any trends that you’re watching carefully in commercial real estate? Are there certain asset classes that you’re more worried about than others and are you getting more worried about owner occupied?
Joanne Kim: In general we are watching SBA loan portfolios very, very closely because of the nature of the credit that we have. On the CRE side we are hearing a lot from the retail customers that their sales were down by anywhere 20% to 30%. It used to be, come to 20%; now they’re saying 20% or more than 20% of their retail trade has dropped. This will affect these retailer's ability to make bank payment. And we do have approximately $280 million worth of commercial shopping center – loans to commercial shopping centers. All of these loans are performing; I do not have any one delinquency in the commercial shopping center at this time. However, this is the sector that we are watcher very, very closely. We do not have – our exposure to Inland Empire area is very limited and even in commercial shopping center. And the other area is office space. Office the office vacancy is rising and it’s just the Inland Empire office vacancies are rising very sharply. We only have one office building of under $1 million and in San Bernardino County. And we have none in Riverside, so we are pretty safe in that area. But as I said we are watching every area of our loan portfolio.
Erika Penala – Merrill Lynch: And my final question is related to TARP. I think, correct me if I’m wrong, but you mentioned that there could be particular, there could be some consolidation opportunities for you guys going forward. And I guess, and if all banks including the weaker banks can get capital from the government. Does that not undermine your ability to take advantage over the near term and consolidate within the Korean American bank sector?
Joanne Kim: I said a possible acquisition. I did not say consolidation in our communities. But I understand that these, this program is available to a stronger bank who has strong capital tradition. That was my understanding. So I understand that stronger banks will be able to obtain additional capital through this program. If some other weaker or troubling banks if they can obtain the capital from the government that would be great. We don’t know about that side yet.
Operator: And our next question comes from Donald Worthington – Howe Barnes Hoefer & Arnett Inc.
Donald Worthington – Howe Barnes Hoefer & Arnett Inc.: Couple of things, one in terms of the deposit flows, I noticed that the non interest bearing accounts were down about $25 million. Were those funds that left the bank or did they move into interest bearing accounts?
Gunho Alex Ko: Non-interest bearing, if you look at the quarter end, the quarter end at comparison it decreased by 8%. And if you look at the average balances for example, I think the average balance has a – didn’t decrease that much. So at least at year end, at quarter end certain decreases versus the overall customer leakage.
Donald Worthington – Howe Barnes Hoefer & Arnett Inc.: Okay so there was some intra period kind of volatility on the whole, the average balances were fairly stable?
Gunho Alex Ko: I believe so.
Donald Worthington – Howe Barnes Hoefer & Arnett Inc.: And then in terms of the SBA, you provided the numbers on originations. I was just curious about the volume of the sales, in other words you had $10.2 million in originations in the quarter. How much in the way of SBA did you sell, dollar-wise?
Gunho Alex Ko: We sold $7.8 million and we have about a premium 5.4% and so we have a total premium of $424,000.
Joanne Kim: And also toward the end of the third quarter we decided not to sell SBA loans because typically SBA loans pricing is pretty accepted. But toward the end of like September the market was virtually closed. And we are getting 1% to 2% premium rates. So we decided not to and carry those loans on our book until market improves.
Donald Worthington – Howe Barnes Hoefer & Arnett Inc.: And then I guess lastly in terms of the margin, I think you had a general comment in terms of the 50 basis points Fed rate cut, but any more color in terms of where you see the margin going in the fourth quarter?
Gunho Alex Ko: I expect the margin honestly to decline, due to the competition against the deposit pricing and also due to the lag of the re-pricing of the CDs. And we have about an $800 million floating rate loan that will be re-priced at a lower rate of 50 basis points on October 8th. However, we are in a net liability position and the dollar amount we have about [$27.7] million is the net liability position as of the quarter end. So I think it really depends on how much we can lower our deposit going forward given the competition. I think it would be fair estimation that mean does decrease during the fourth quarter.
Joanne Kim: The one that I can add is that our weighted average on fixed rate loans I know hat this time I give you a detailed picture of our fixed rate loans. Before I just – prior to this quarter I’ve been giving you fixed rate loans just the fixed, not the high weight ones, but this time I give you fixed rates and high weight fixed rates loans. And we our quarter fixed including those high rate loans are about $1.1 billion with a weighted average rate of yield of 7.26% and I think this will help us, help our yields while we are adjusting our deposits costs.
Operator: And our next question comes from Hugh Miller.
Hugh Miller: Most of my questions were asked but I just had a couple of follow ons. You had mentioned some color on the office vacancy trends with the Inland Empire Region. I was wondering if you could add a little bit of color within L.A.?
Joanne Kim: The L.A. site yes, we see there will be occupancies, I mean vacancies are increasing, but not as dramatically as Inland Empire. I know that Orange County occupancies are also rising, I am sorry I do not have the actual vacancy ratio in L.A. or Orange County. I will go ahead and get the rate and I will forward it to you, but I don’t have that information. What I do know is it is increasing.
Hugh Miller: And in the past you guys had mentioned I think about 15% of your CRE portfolio is in gas station and car wash type businesses. Was an area that you were keeping an eye on. Was wondering what the trends you were seeing there and whether or not that it has become a little bit more of an area of concern or less of an area of concern?
Joanne Kim: So far in the commercial side, they are performing. What we see again is the SBA side as the side of the car wash or gas station loans, some of the car wash and gas station loans are in delinquent or non performance status, but not on the commercial side.
Hugh Miller: Good great color there. And then obviously you had mentioned that you are looking at potentially making an acquisition of a failed bank, looking at the deposits there. Can you talk to us about some of the pricing trends you’re seeing for those types of businesses?
Joanne Kim: You mean pricing of the deposits? The deposit pricing or?
Gunho Alex Ko: The pricing of the failed bank acquisition?
Hugh Miller: Yes, yes, what it would probably cost you guys.
Gunho Alex Ko: Right no, I think I can touch on the failed bank acquisitions first because my understanding is that based on like a premiums, how much we pay on the deposit. We are not –if there is any opportunity we do have the option to selectively purchase only the deposits.
Hugh Miller: Correct.
Gunho Alex Ko: And what I, based on, you know, my research I have, these hold like 1% to 4% of the deposit premiums for those failed banks. It really depends on which state. Some states they require a lot, a premium than others so it really depends on what the state is as well.
Joanne Kim: We would expect that we are getting some packages to buy branches of the bank. So we are actually looking at those. It’s very interesting. Those – the bank sales, premium on their deposit; it runs about 5% to 7% that’s what we saw in the package that we are getting.
Gunho Alex Ko: And also like FDIC close on a sales bank, but also I’m hearing there will be more openings for the more distressed institutions based on like TARP; they don’t get the TARP. It’s not available to all the financial institutions including the distressed. There might be some additional acquisition or any openings available.
Hugh Miller: Excellent color there, but I guess with regards to a complete branch transaction there, it – would you be considering anything outside of California and the Metro New York area?
Joanne Kim: Yes actually you know metro the New York, New Jersey area is the second largest and quite important market. Yes, if there’s an opportunity we will definitely look into that area too.
Hugh Miller: Sure, no but I mean outside of those two areas would you look anywhere else?
Joanne Kim: Other area it’s possible like Virginia area, that’s Virginia, Maryland, Washington D.C. Those are the third largest area where Korean American reside and if there is an opportunity that’s the desirable areas that we want to be.
Hugh Miller: Great and one final question I guess then just touching back on the demand deposits. I know you had mentioned that the average balances weren’t as adjusted as we saw at the end of period. But were you seeing at all during the quarter a flight to some of the larger cap banks for demand deposits that may have been considered to be a little bit safer with some government support. And if that was the case, were you noticing that that pressure has subsided so far in October?
Joanne Kim: You’re talking about the third quarter. We have not seen any deposits flight to other banks. During that quarter we were more of a beneficiary of deposits coming towards our door. However, in early part of October we begin to see some money out, primarily to Korea to take advantage of the Korean One's decrease; Korean One devalued substantially by about between 30% to 40% so some of the Korean investors want to take advantage of that weak Korean One and transfer money out. And I think this is happening to all the Korean American banks here. But these monies, once they gain enough profits they will return to us. It may take up to three months. That’s what’s happening in October.
Hugh Miller: And just one quick follow-up then, I know you had some flight from other banks and I anticipated that was primarily in the core of the time accounts. Were you seeing movement outside of your bank on the demand deposits during the quarter to other banks? Joanne Kim No, not really.
Operator: And there are no further questions in queue at this time.
Edward Han: Okay thank you that concludes our quarterly conference call. On behalf of our management team and the Board of Directors I would like to thank everyone again for your participation and continued interest and support for Wilshire Bancorp. If you have any further questions please feel to contact us directly. Thank you.
Joanne Kim: Thanks very much.
Operator: Thanks for your participation in today's conference. This concludes the presentation.